Unidentified Company Representative: [Interpreted] Thank you very much for waiting, everyone. Now, we'd like to start the SoftBank Group Corp., earnings results announcement for 3 months period ended June 30, 2025. First of all, I would like to introduce today's participants. From left, we have Yoshimitsu Goto, Board Director and CFO, CISO and GCO; Kazuko Kimiwada, Corporate Officer, Senior Vice President, CAO and CSO; Navneet Govil, Executive Partner and CFO, SB Investment Advisers and SB Global Advisers; and Ian Thornton, IR Vice President, Arm. Today's announcement is live broadcast over the Internet. Now I'd like to invite Yoshimitsu Goto to present you the earnings results and the business overview.
Yoshimitsu Goto: [Interpreted] Thank you very much for joining us despite busy schedule. I'd like to give you presentation. Again, my name is Goto, very nice to meet you. The era is AI and our focus is definitely AI. And we are trying to expand into different areas from AI's perspective. Looking back, in 2016, Google's AI AlphaGo shocked the world by defeating one of the top Go players. It was a milestone moment and that symbolized AI's evolution toward intuition and creativity, which was starting to be unique to human. The year 2016 was around the time that a third AI boom took place. As you can see, the top part is talking about history from technical perspective and the bottom part as from SoftBank's perspective what we have done in that timeframe. Currently, we are in the fourth AI boom, and GenAI, like ChatGPT is up and running. Again, the same year when AlphaGo defeated one of the top Go players, we acquired Arm, marking our deep investing commitment to the world of AI. Since then, we met OpenAI, and through the SoftBank Vision Fund, we've steadily built a strong foundation, investing across the wide spectrum of AI-related companies. In 2020, Masa-san at earnings call said that those who control AI will control the future. In 2020, not so many companies were looking at AI, especially in their businesses. But we made a commitment that we will drive AI-oriented strategy. And AI investment we began nearly a decade ago are now bearing fruit, reflecting the growth of our NAV, surpassing a JPY 30 trillion, driven by Arm's growth and good performance of the portfolio companies of SoftBank Vision Fund. At earnings call, I don't often talk about share prices. But looking back, in February 2000, SoftBank hit the high share price. And that time was called IT bubble or net bubble, and it was a memorable year because in February 2000, I left a bank that I worked for a long time. And at the end of May or June in 2000, I joined SoftBank Group together with Kazai-san, who was my mentor. Through the history, what would happen since then? In the last few weeks, our stock has been performing very well, and we hit JPY 12,560 as of today, which was the record high. Share price and market cap have a very significance. Market cap represents our value, whereas our share prices from investors' perspective, they are obviously interested in how share prices go. That's very important for shareholders to calculate return. So share price is important and relationship with market cap and NAV is also important. And if you look back, as you often indicate, SoftBank discount or NAV discount are rather big. The gap between NAV and market cap is around 40%. In fact, until quite recently, it was over 50%, but the gap has been narrowing, which is good. I think that people start to realize the direction we are trying to go to is correct. In fact, as of today, discount is 39.8%. For the first time after a long time, when we see 30% level of discount. So with that, let's take a look at first quarter FY '25. First, net income, JPY 421 billion, huge improvement year-on-year by JPY 569.1 billion. Arm's share price increased, pushed NAV to JPY 32.4 trillion. Despite major investments, including investment in OpenAI, loan to value improved to 17.0%, and cash on hand improved as well. Finance wise, while we are making big investments, we are looking at better finance and NAV increase. So from a finance perspective, we are having a good momentum. And we continue to pursue NAV growth with Arm and OpenAI as our dual engines. And consequently, we want to contribute to SoftBank Group's value as a corporation. Now let me begin with the consolidated results. We don't look at our revenue or net sales so often, but it's better. And a gain on investment change was going down, but still good. Income before income tax, JPY 689 billion, huge improvement since last year, and net income, JPY 421.8 billion, again, huge improvement. And by quarter, if you look at the history of gain or loss in investment and net income, we are an investment company, and the investment company would go through ups and downs. But looking back the last 5 quarters, you see we are delivering a very steadily growth. One of the impacts on net income is a ForEx gain or loss, which is rather significant. From March to June, the yen increased from 150 to 100 -- or got stronger from JPY 450 to JPY 145 level. And for the first quarter of FY '24, it was the other way around. We posted net loss of JPY 443 billion, whereas we posted a net income or ForEx gain in the first quarter, but ultimately, the performance of our investment should contribute a lot to the overall results. Now let me touch on the key indicators, which are the important key indicators that we are referring to. Net asset value, JPY 32.4 trillion. So about -- increase of about JPY 6 trillion; loan-to-value, 17%, very steady base. As I mentioned earlier, although that we made quite a large investment, but still we are able to maintain very stable loan-to-value. Cash position increased with the various asset monetization has been -- taken place for our financial strategic point of view. Net asset value, sharing a little bit longer period. So JPY 32.4 trillion is quite high compared to the past. Latest wise, on your far right, share price, a little bit weak these days. Therefore, that is pro forma based JPY 29.6 trillion, but Arm, we are not worried for the short- term period ups and downs, rather that we always focus on the long-term vision. Loan-to-value, also from the past, these days, as we increase investments, loan to value is a bit of an increasing trend, but right now, current level like 18% to 17%. As of today, loan-to-value pro forma basis, 18.4%. Around this level, we believe that we have no issues, no problem at all. Cash position, while we're making investment activities that we have some decreasing trend, but still a little bit shy of JPY 4 trillion cash position maintained. Therefore, that, again, we believe we've been able to maintain a very safe level from that point. Now on to Vision Fund. Gain and/or loss on investments, so this quarter, $5 billion result this time. Actually, each respective fund, Vision Fund I, Vision Fund 2, LatAm Fund, did make a good increase. Largest one is Vision Fund 1, JPY 3.5 billion. Vision Fund 2 actually had suffered in the past, but now that we are seeing a very good positive number this time of JPY 788 million. Let me go into a little bit of detail. Vision Fund 1, on your left, largest portion are from public portfolio companies, including Coupang in Korea. Increase in share price of Coupang has been a big contributor for Vision Fund 1. And on your right-hand side, Vision Fund 2, of course, there are several issues -- several reasons. And for the public portfolio company wise, Symbotic was one of the good contributor for Vision Fund 2. Each respective companies -- portfolio companies, they are very much AI-focused, and they are actually increasing in their value one after other. Especially for Vision Fund 2, we are looking at very exciting companies; for example, OpenAI has been invested through Vision Fund 2. PayPay in Japan also invested from Vision Fund 2. So those are portfolio companies that we have a very strong expectations for the future. So that makes us very much excited and also highly expecting on the good growth in Vision Fund 2 as well. Here, with the recovery of the Vision Fund gain and investments, we see a good trend to increase and showing good positive figures here, recovering very steady basis, which was a very -- make a very good quarter for Vision Fund and SoftBank Group. Vision Fund 2 and other investment return, which I regularly show you at earnings. So Vision Fund 1 for the investment cost of $89.6 billion has grown to $116.6 billion. Even with the March end comparison, it is increasing $3.6 billion quarter-over-quarter. On your right-hand side is Vision Fund 2 and LatAm Fund. $78.2 billion investment cost, and still, investment return stays at $55.8 billion, so we do need a further effort on this. But compared to the quarter before, actually, that it is increasing by $11.5 billion. So fund itself are showing a good sign of growth and increase in returns and values. More specific portfolio company wise for this quarter, we have 2 IPOs, both are fintech companies, eToro and Chime. In late- stage portfolio companies, on your right-hand side, some of the fair value of those are $45 billion, which includes OpenAI, PayPay, ByteDance, Fanatics QuintoAndar. So those are the late-stage portfolio companies. And there are already companies that made public filings, such as Klarna, Lenskart, so there are also good expectations to go public. So we have a good expectation on those late-stage portfolio companies. And at the same time, we're doing several seedings to the AI-related companies, and we are also expecting on those to grow. Those 2 companies that made our IPO this quarter, Chime and eToro. On your left, Chime, this is the leading U.S. neobank providing customers with low-cost mobile-first banking services; eToro, a personal investing platform, opening the world's markets to everyone. After the IPO, of course, the share price goes up and down, but actually, both already showing performance exceeding the IPO pricing. So we are very relieved to see such a trend. PayPay, in one word, progressing well for IPO preparation. Because they are entering into IPO preparation, I cannot say anything furthermore from here. So I cannot say what timing or venues or whatever those questions. I cannot answer any of those questions. So please do understand, thank you very much, but making a very good progress. I am also the member of the Board for PayPay, so I also can enhance that, that it is making good progress. And results wise, number of registered users, 70 million users achieved, which is quite a number, I believe. More than 1 in 2 people in Japan are using, and actually, 2 out of 3 smartphone users in Japan are using PayPay. Of course, some people are using more than 2 smartphones, but still 2 out of 3 smartphone users in Japan using PayPay. So that actually explains the good coverage by PayPay to Japanese people. And the 2 KPIs that I can share at this moment, GMV on your left-hand side, how much product has been addressed by PayPay, and JPY 4.5 trillion this quarter, actually 24% year-over-year. So it is making a very good progress trend. On your right-hand side, EBITDA. Here too, increased by 87% year-over-year. Amount-wise, JPY 21.9 billion. So those pages that we just share actually reconfirm that they are very much making a good progress in preparation of IPO. Next, Arm. Revenue was good, driven by royalty revenue growth, which increased 25% year-on-year. Adjusted operating income was slightly lower than last year, and that might draw attention of Arm's investors. But as you all know, it was due to increased R&D investment for future growth. That is a good investment to capture future growth, so necessary cost needs to be spent now so that we can gain fruits later, which is what SoftBank is good at, and Arm is doing that as well. And they are doing, and they are doing on their own. While at the management level, we are communicating each other, long-term growth is something that we expect Arm, and we actually encourage Arm to spend the money for future growth. From business perspective, compute subsystem, or CSS, is a key driver, and CSS is an integrated IP package that includes multiple Arm CPUs. And CSS helps customers shorten development time and reduce cost. It shows the number of contracts they have acquired, and 16 may seem small, but those customers are large companies. So I believe that the count has significance. And 5 shipped chips, and that contributed to expansion of royalty revenue. And Arm is also gaining market share in the cloud segment. If you take a look at left-hand side, Arm-based chips, known for their performance and energy efficiency, are being adopted by AI infrastructure leaders worldwide. We expect about 50% or more of server chips introduced by major hyperscalers this year to be Arm-based. On the right-hand side, the number of enterprises using Arm-based chips for cloud processing has grown more than 14x since 2021, exceeding 70,000 in 2025. You can see a rapid growth. So Arm is quickly becoming the core platform for AI era, cloud infrastructure. Arm's guidance is JPY 1 billion to JPY 1.1 billion in revenue for second quarter, implying about a 25% year-on-year growth at the midpoint, which is pretty good. Adjusted operating expenses are expected to remain a little bit high due to, like I said, continued R&D investment. We are confident that the strategic investment will lead to strong long-term growth. So we again have a high expectation from Arm. Now OpenAI. To remind you, if you can look at left-hand side, investment commitment is JPY 40 billion. Of that, JPY 10 billion to be syndicated to external investors, whereas our investment will be JPY 30 billion. That's the framework. The first closing took place in April, and first closing was 10 out of total. As SoftBank, JPY 7.5 billion, and JPY 2.5 billion for external investors, and the first closing was successfully completed. And the second closing is planned in December, when remaining JPY 30 billion will be invested, by SoftBank JPY 22.5 billion and up to JPY 7.5 billion from syndicated investors. So again, this has been going very well. If you take a look at this slide to show how it's going well. So we started with $2.5 billion for syndication, but it turned out to $5.7 billion for the first syndication. Then excess will be allocated to the second closing, and a lot of leading investors show interest, and we are looking at a good shareholder mix -- excuse me, investor mix. Talking about OpenAI's business growth, which is amazing. The March number was public number, and weekly active user as of March was 500 million. At the time of August, it is expected to reach 700 million. I believe that the speed exceeds their competitors. OpenAI's value should be reflected by this rapid growth. And annual recurring revenue, or ARR, of OpenAI, or the latest 1-month revenue x12 months is expected to reach $12 billion, which is not a public number, but some people expect the ARR could reach $12 billion from $5.5 billion as of December 2024, again, huge growth and that should be a strong backbone for their finances. It's been only 2.5 years since release of ChatGPT. Amazing speed, isn't it? We have a very strong relationship with OpenAI, driving the AI business forward, which is great. OpenAI introduced ChatGPT agent recently that combines 3 capabilities: search, organization and conversation. And this agent can think and act autonomously to complete a given task. As for use cases, for example, product purchases, this agent can do research and place an order on behalf of user, and they can create slides quickly, and they can improve efficiency of operations and tasks. So this agent is something that we keep eye on. We want to accelerate AI evolution, our strong forecast. And OpenAI is not just an investee. For us, OpenAI is one of our most important partners in the AI revolution. One example of our collaboration is the Cristal Intelligence. We are preparing to deploy this platform group-wide within SoftBank. As you can see on the left-hand side, we have 50,000 employees. From our company -- parent company's perspective, it doesn't feel real, but we have 50,000 employees and 100 million customers. And we have 2,500 systems. So that's probably the reason why we need a lot of systems. We want to build 1 billion agents by the end of the year, and we are working so hard to reach the goal. SoftBank mobile operator is looking at call center use case. There are a lot of campaigns going, and there are a lot of products and services, and there might be some errors and troubles, and AI operator who has good understanding and knowledge about history and the current status, and AI operator may work much better than human operators to address problems or meet customers' needs. Whereas at Line Yahoo, they are looking at commerce agent as a use case. So that agent has a deep understanding of users, recommending the best possible products and how to purchase and how to use the product. So those are the -- some of the use cases that our group companies are looking at in terms of AI agents, and we are excited or kind of scary, but excited to see how our group is going to change or transform. And that's where our project's target comes in, is the concerned parties' technology products, sites, real estate, construction, regional government, national governments with a lot of discussion with those concerned parties that we are here to work on this project. At 3 months before, what I can say is pretty much the same story, but major sites have been selected in United States. And how can we address to build a data center, making on a priority order into the designings and so on. To more specific, of course, that we are working on in several states that we are working on, and the size is relatively large. And to proceed all those, we do need a kind of test running as well. So all the preparations are taking place at the same time so that we will be able to make a good -- a good success. Although it may be taking a little bit more time than we originally expected, but we would like to make sure that we will be able to make a good progress on this. Now, on to financial policy. Financial policy, which is the base for our financial strategy, has no change at all, so maintain loan to value below 25% in normal times. As you saw earlier page, we are around 17% to 18% level, and maintain at least 2-year worth of bond redemptions in cash. Again, in earlier page, our cash position is about JPY 3.7 trillion, which has more than enough to cover a 2- year worth of the bond redemptions at this moment. And the investment amount for this first quarter, mainly because of OpenAI, of $7.5 billion, about JPY 1 trillion equivalent. So that is why the investment about -- for this quarter was $8.4 billion. So compared to the past quarter, actually, it made the largest investment in -- compared to these recent quarters. To proceed these investment activities, as an investment company, we do need to monetize and divest and invest that cycle is necessary, so divestments and the investments. But these 2, it's not always aligned in terms of timing. We always seek to find the best timing to do so. And for that timing, we'll be -- have some gap, which will be filled by asset debt financing, including the bank loans, asset-backed financing and all those schemes. So divestment in the new investment activities, we would like to optimize the timing of those by doing so. So that's the -- how we manage our financials. Monetization of assets. This time, we have sold T-Mobile shares in June and August, 2 times, in total $7.8 billion, and that proceed has been back to us. In the Deutsche Telekom, DT shares is also being used for derivative monetizations and which is so-called color transaction, which is kind of similar to forward transaction. And partially, we have already monetized. And this time, the remainder, we have made early unwind to make EUR 1.2 billion cash received in lump sum through this are the unwind transactions, which also contributed to improvement of our balance sheet. So not only making new investments, but -- and not only increasing our debt, we would also like to see divestment to keep our healthy balance sheet. One -- another topic was the buyback program that we've been working on for about a year. And that due came this time, and we completed our share purchase program, which also made by our public announcement. Originally, this program was JPY 500 billion, actual acquisition was 42.03 million shares, amount-wise about JPY 330 billion. At the time we started this program, our intention for this buyback program was that because back then, last year, share price declined largely. And for the large drop of share price, we wanted to show you that we are the company, can make an immediate reaction to such a situation. And when we see the sharp drop of share price, that's also a good opportunity for us to do our buyback program. That's why that we executed our buyback program. After then, fortunately, our share price has recovered since then, and JPY 7,800 for the average purchase price for this buyback program. But in the past 2 months, there are kind of a target price, of course, if the -- for the acquisition of share price, but actually, the share price itself exceeded and grow even more than that. And we believe that, that complete our mission. So, therefore, we have decided -- we have completed our buyback program with the amount of JPY 330 billion. Going forward, shareholders' return is very important for us, strategic investment. The improvement of balance sheet and also shareholders' return is a very important agenda for us. So new investment activities return to stakeholder -- shareholders and also the improvement of the balance sheet, which is to return to our debt holders. So balance of those 3 is going to be very important, and that will make us decide the timing or the actual program placements of the buybacks going forward. Share price, as we shared with you in the very beginning of this presentation, we have updated our record high since IPO, and today, ended JPY 12,560. Under such an environment of hitting a record high since IPO and having this earnings announcement, and we don't want to see the drop tomorrow, the day after earnings, but still we very much focus on the mid- to long-term growth. So there may be some ups and downs anyway. But good news is very good news, of course. So we would like to continuously see the maximization of our net asset value, which is the -- one of the most important KPO of ours. And the NAV discount, which is another thing that I have mentioned in the beginning of this presentation. Last year, first quarter, our discount was 57%. And at the July to August, we are making a very good improvement of NAV discount. So right now, as of today, pro forma base is 39.8% discount. So this is another thing that we would like to continuously focus on. And what is necessary to focus on this discount is the strategy of the company, which includes AI business strategy or the -- our company's strategy. Once that's understood, then that I believe discount will be narrowed down. And that accountability comes to us, and we would like to make sure that we will be able to work on narrowing down discount. From a finance point of view, investor relations point of view, to our stakeholders and to the market that we would like to be able to provide the good value information to be able for stakeholders to understand our company and business. And the highlights once again to wrap up, net asset -- net income of JPY 421.8 billion, net asset value climbed to JPY 32.4 trillion, loan to value improved to 17% and pursuing an upgrowth with Arm and OpenAI. So we would like to continuously focus on the growth of our business and the company. At the shareholders' meeting in June -- back in June this year, he said we would like to aim to be the #1 ASI platform provider after 10 years. So that's kind of -- he means is that we would like to become the very core of the industry. For example, hyperscaler companies like Google, Apple, Microsoft, Amazon, Meta, those -- they are also the platform, but now in 10 years, we will be seeing the ASI era, and there that we also like to show and become the very core of that industry and business. And to become such a presence, we need to back calculate 10 years back. And what we should do now? That's something that Massa always do to achieve what we would like to be in 10 years. So that's something that we are working on for those preparation every day. And OpenAI, so those 2 companies together with them, we would like to show the good presence in AI industry and AI business. And this is our corporate philosophy once again to recap information revolution, happiness for everyone. Thank you very much. That concludes my presentation.
Unidentified Company Representative: [Interpreted] Now we'd like to take questions. First, we'd like to take questions from the floor. [Operator Instructions]
Unidentified Analyst: [Interpreted] [ Yagi ] from Nihon Keizai newspaper. First question is about portfolio strategy. Vision Fund has been performing well this quarter, but one media said that requisition of Vision -- part of Vision Fund portfolio was happening. And the first closing of OpenAI was from Vision Fund 2, you mentioned. So what's your portfolio strategy going forward, by using your own balance sheet or utilizing the Vision Fund?
Yoshimitsu Goto: [Interpreted] Thank you for your question. Which vehicle we should use for investment in principle and if we can expect exit from an investor, we would use a fund. And we might use our own balance sheet if we don't expect a soon IPO exit. But sometimes, some combination is needed, but we make a decision after a thorough discussion at the management level.
Unidentified Analyst: [Interpreted] And the second question is about Stargate. You sounded a little bit negative, but Stargate no way was an announcement by OpenAI to build a data center in northern Norway. I wonder if that deal was something that SoftBank is involved in and also expansion to UAE might be a possibility. So other than United States, is there any update that you can share with us with regards to how you involve?
Yoshimitsu Goto: [Interpreted] We are not involved in Norway thing. But OpenAI's expansion to such area can be possible, but I suggest you talk to OpenAI directly. About UAE, at the moment, we are not taking lead in such opportunity. We are pretty much focused on the U.S. And we'll try to keep you updated on what we are doing in the United States.
Unidentified Company Representative: [Interpreted] Thank you very much. Any other questions, please.
Unidentified Analyst: [Interpreted] My name is MJ from Bloomberg. I have 2 questions. First, Ampere acquisition. FTC in the United States is asking the very detailed screenings in Ampere acquisition. What is the status of this discussion or acquisition process?
Yoshimitsu Goto: [Interpreted] Yes. As for Ampere, schedules for closing of the transaction, there are several discussion agenda there, and we are expecting to be able to close by around the latter half of our fiscal year -- this fiscal year. There are some media coverage regarding the reviews and so on, but that's all included, and we've been communicating with Ampere. And looking at the latter half of this fiscal year is kind of a schedule we have in our mind at this moment.
Unidentified Analyst: [Interpreted] Another question is about Vision Fund, and I switch to English. So the Vision Fund spent USD 7.5 billion on OpenAI. I'm wondering how much more money Vision Fund 2 has to spend on further -- either further on OpenAI or any other sort of investments for the rest of this year?
Navneet Govil: Thank you for your question, MJ. So as you know, over the years since we launched Vision Fund 2 in 2019, the commitments from SoftBank Group have gradually increased over the years. And with respect to OpenAI's second tranche funding that's expected to take place in December, as Goto-san said, we haven't yet made a decision of which vehicle we will invest from, whether it's going to be from SoftBank Group's balance sheet or Vision Fund 2. The funding is actually fungible between any of the SoftBank entities, and Vision Fund 2 is primarily owned by SoftBank Group, so it doesn't really matter. But as Goto-san said, historically, what we've done is for minority investments, we typically do those through the funds, and controlled investments are primarily done on SoftBank Group balance sheet. But in this case, we have not yet made a decision.
Unidentified Analyst: So we don't know yet how much like you guys would have left for the Vision Fund for other investments really.
Navneet Govil: As you know, the Vision Fund commitments have continuously gone up over the years as we find -- as our pipeline for new AI investments increases. So the commitment levels to Fund 2 can continue to go up.
Unidentified Company Representative: [Interpreted] Any other question from the floor?
Unidentified Analyst: [Interpreted] [ Yoko Ono ] from Yomiuri Newspaper. A question about Stargate in progress. Goto-san mentioned that Stargate has been going slower than usual, but what is the main reason why it's slower than usual? And do you expect to accelerate? And why you believe that the Stargate project can be accelerated? And Trump administration announced that they would impose 100% tariff on semiconductor-related businesses. So I wonder whether Trump administration's policy could have any impact in any way on Stargate.
Yoshimitsu Goto: [Interpreted] Yes, project progress of the Stargate, I said slower than usual. That was my gut -- my feeling, my personal observation. One of the reason is site selection. Of course, there are a lot of options, and it's been taking time to select good site. And there are a lot of stakeholders. To build consensus, we need to have a lot of discussions and also technical issues and construction issues. There are a lot of things that we need to look at. The -- once model is built, you can repeat the model. That's true to project finance, for example. The first project finance would be a model case for follow-on project finances. So we want to deliberately spend time to build the first model successful. And also, we need to look at how you test the project to make it successful. So eventually -- or looking back, you may think that it was taking more than or longer than expected, but we don't have to worry about that. About the semiconductor tariff, well, I don't think that no impact at all, there might be some impact, but it's -- there's no point to worry about that. Maybe project budget maybe needed more than we thought, but I think we will see how it goes.
Unidentified Analyst: [Interpreted] My follow-up question is Oracle for the Stargate 1 was what Oracle talked about. So what Oracle does and what OpenAI does, how they are positioned? Where do they -- are they positioned?
Yoshimitsu Goto: [Interpreted] For next 10 years, JPY 500 billion was the plan. So, again, in principle, project member includes Oracle, and so they made an announcement referring to Stargate. And Stargate Norway, like somebody mentioned, if they have the same vision working on something, we should appreciate that, we should respect that, whereas Oracle made announcement on their own data centers, which is fair, and we should focus on wherever we are involved in.
Unidentified Company Representative: [Interpreted] Then next question, on your left, the second row.
Unidentified Analyst: [Interpreted] My name is [ Mikaela ] from NHK. So it relates to the previous question, Stargate. The current schedule-wise, do you have anything that you can share with us?
Yoshimitsu Goto: [Interpreted] In the overall schedule, we have no change in that. At the time of our announcement, we said JPY 500 billion over 4 years. And it's kind of a target that we would like to aim to achieve. So how fast can we achieve that and how can we address that, that's the -- our position, and we have no change in that. This is quite a time-consuming project. It's not something that we can do overnight or anything. So we need to -- if it's a construction project, once we launch, and then, we complete the construction, then we launch service and that will take us minimum 1 year to 1.5 years, longer, one may take 3 to 4 years. So JPY 500 billion over 4 years is still the same target we have in how we're going to address that. And can we explain to you about the detail? That's something that we would like to try our best while we're working on these projects.
Unidentified Analyst: [Interpreted] And you mentioned about AI agent, SoftBank, Line Yahoo is working on at this moment, call center operator or the shopping agents. Is there any consumer service that are you going to provide it to the market? Or is there any plan on that? What are the things that you have in your mind?
Yoshimitsu Goto: [Interpreted] AI agent itself is a kind of a tailor-made type of product. So first, we would like to utilize inside of SoftBank Group, and 1 billion agents is something that we would like to work on. So whenever we think about 1 billion agents, what do we need to do? So we would like to start with where that needs most, and we will address the project. This is the first project, first time for us to address, so we are just excited to see how we grow.
Unidentified Company Representative: [Interpreted] Thank you, and next question from the venue.
Unidentified Analyst: [Interpreted] [ Morita ] from Toyo Keizai. I have 2 questions. First, about the Stargate, and about project finance, I'm assuming that you have been communicating with the financial institutions, so what's your view on cash flow from AI perspective? Some people are positive, some people are conservative. So again, what's your view of financial institutions' mindset about project finance? And second question is to Navneet. For Mr. Navneet, I'd like to get your plan of improving the investment performance of Vision Fund 2. So what is the key point of improving the performance of Vision Fund 2?
Yoshimitsu Goto: [Interpreted] Okay. Maybe starting from the first one. Communicating with the financial institutions, yes, definitely. I'm forefront when it comes to communicating with the financial institutions. This is significant, huge project. There are Japanese mega banks and U.S. banks and European banks that we have a good relationship with them. Are they very positive about the project? We are going to build one by one when it comes to project finance whether there are 20 cases or 30 cases, we need to build data centers and packages. So what we are focusing on is to make the first one successful. And for the first project, we are ready to have a discussion more in detail and specifics. For example, our major banks, Mizuho has had a deep discussion with us. And again, overall, those financial institutions are very positive and supportive.
Navneet Govil: Performance of Vision Fund 2. What we're beginning to see is a couple of things, one is a very strong pipeline of IPOs. As Goto-san mentioned in his presentation, there are a number of upcoming IPOs: PayPay; Klarna; JAKA Robots; our India portfolio, Meesho, Lenskart; the fintech portfolio overall. We recently had the IPO of Chime, and Klarna to happen. That's one. The other is we're beginning to see a lot of these investments that were done with the AI revolution in mind and AI disruptive companies. We're beginning to see as the AI revolution and as we are progressing towards artificial super intelligence that Son-san has been talking about, these companies are finally beginning to reap the benefits of that. And some of the strong investments we have in Vision Fund 2 are -- other than OpenAI is PayPay and a number of other companies. Our India portfolio continues to do well. Our fintech portfolio continues to do well. So over time, we'll continue to see value being unlocked by these investments.
Unidentified Company Representative: [Interpreted] Any other questions? Second from the front, on your left.
Unidentified Analyst: [Interpreted] [ Kurashima ] from KYODO. I have one question about Cristal Intelligence. Recently, Mizuho Financial Group has decided to introduce that and for those good relation banks or the companies or the ones that are first user of those. And do you have any target for this year for Cristal Intelligence introduction?
Yoshimitsu Goto: [Interpreted] That's rather SoftBank Corp side when it comes to target of the Cristal Intelligence that Miyakawa, our CEO, is working on that, including the numbers for target. So from me, what I can say is that Mizuho recently expressed their intention to introduce, but this is quite a large amount or large cost service. So this is not something easy to say, yes, we will do. So I believe the close companies -- close business may start expressing their intention. But as far as I understand, quite -- tens of companies, large enterprises has already been directly communicating with SoftBank Corp., to consider. So we would like to make it a successful one after another. But for that, we need service itself to be finalized in the -- like a JPY 3 billion, the number here, and we do need to have a very rich service, which is worth of JPY 3 billion. That's another important part that we need to work on together with OpenAI, and that's something that we are making on every effort on.
Unidentified Company Representative: [Interpreted] Any other question from the floor? Thank you very much. That concludes the SoftBank Group Corp., earnings results announcement for 3 months period ended June 30, 2025. The video footage of this meeting will be distributed on demand from our corporate website. Thank you very much once again for joining the SoftBank Group Corp., earnings results announcement for 3 months period ended June 30, 2025. [Portions of this transcript that are marked [Interpreted] were spoken by an interpreter present on the live call.]